Operator: Greetings. Welcome to Sirius XM’s First Quarter 2023 Operating and Financial Results Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. At this time, I’ll turn the conference over to Hooper Stevens, Senior Vice President of Investor Relations and Finance. Mr. Stevens, you may now begin.
Hooper Stevens: Thank you, and good morning, everyone. Welcome to Sirius XM’s first quarter 2023 earnings conference call. Today, we’ll have prepared remarks from Jennifer Witz, our Chief Executive Officer; Sean Sullivan, our Chief Financial Officer; and Tom Berry, who will assume the position of CFO tomorrow. Scott Greenstein, our President and Chief Content Officer, will join Jennifer, Sean and Tom to take your questions during the Q&A portion of the call. I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based upon management’s current beliefs and expectations and necessarily depend upon assumptions, data or methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please view Sirius XM’s SEC filings and today’s earnings release. We advise listeners to not rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I’d like to remind our listeners that today’s call will include discussions about both actual results and adjusted results. All discussions of adjusted operating results exclude the effects of stock-based compensation. With that, I’ll hand the call over to Jennifer.
Jennifer Witz: Thanks, Hooper, and good morning, everyone. Thank you for joining us. Before jumping into the quarter’s results, I’d like to welcome Tom Barry as our incoming Chief Financial Officer. With more than a decade’s experience working closely together, I know that Tom’s deep institutional knowledge and broad finance experience will be invaluable as we drive growth across the business and continue our commitments to customers, employees and shareholders. I also want to thank Sean for his many contributions these last few years and ensuring a smooth transition. In the first quarter, we outperformed our initial financial expectations, putting us in a strong position to increase our full year guidance for adjusted EBITDA and free cash flow. We also delivered better-than-expected ad revenue, partly due to our leading self-service and programmatic solutions that are allowing us to capture closed-end bookings, and I will address this more in a few minutes. As previously discussed, we reduced marketing spend, particularly around streaming in anticipation of product improvements we are launching later this year. This contributed to the expected negative subscriber growth in the quarter. On the positive side, however, our test and learn strategy will enable us to improve streaming subscriber results sequentially throughout the remainder of the year, even with a lower baseline of spend. While we continue to see opportunities for a bigger streaming-only business, car sales will remain the dominant driver of our subscriber funnel. The fourth quarter’s trial starts declined sequentially by 3% and 7% for new and used vehicles, respectively, and this reduced conversion opportunities for us in the first quarter. And once again, we saw the seasonally higher churn we tend to see in Q1. We believe our overall subscriber performance should also trend better quarter-over-quarter as the year progresses. Supporting this, first quarter vehicle trial starts were up 7% overall compared to the fourth quarter, including a 3% rebound in new vehicle trials and an 11% rebound in used vehicle trials. Sirius XM has an incredibly solid, profitable business today that benefits from a loyal subscriber base and enviable margins. We have a service with very high satisfaction, low churn and one of the leading ARPUs across direct-to-consumer media, not just audio. It continues to be supported by the millions of trial starts we generate each quarter through our robust and long-term OEM partnerships. Our strong distribution, investment in new product offerings and our unmatched content offering that provided a foundation for future growth. However, to meet evolving consumer expectations, particularly with younger audience segments, we must address barriers such as pricing, control and content discovery. We plan to tackle these issues with a new data-driven platform launching later this year that allows for more control of the listener experience and improve discovery, fully utilizing our unmatched content lineup. And as we have always said, business models really do matter. We intend to make prudent decisions to remain a very profitable business that continues to serve as a primary audio subscription service for certain audience segments while being complementary to interactive services for others. Our new platform will streamline purchasing and usage in and out of the car and enhance the value of Sirius XM making our service worth the premium for a wider range of audience segments. Additionally, we are ramping up our marketing technology capabilities to better leverage our rich content to deliver more personalized messaging in our marketing efforts. Transitioning from a one size fits all approach to a dynamic multi-channel individualized approach, we’ll promote only heard hear moments and exclusive talent to drive subscriber conversions among their fans. No matter how or where they want to listen. As we approach the launch of our next generation Sirius XM experience, we are confident that the upgrades will boost engagement and customer satisfaction for in-car and streaming-only customers alike. This will have positive implications to ARPU, conversion, retention, and subscriber growth in 2024 and beyond. We’ll share progress on future quarterly calls, but the first months of 2023 have already brought several exciting product iterations and consumer offers providing valuable insights for the full platform re-launch later this year. For example, we introduced a new in-app onboarding experience for users to select genres allowing faster, more efficient access to the most relevant content. This feature drives listener engagement that leads to higher retention. We’re increasingly flexible and even agnostic in how we add subscribers and accommodate listening preferences. This past quarter, we introduced a first of its kind six-month trial offer for Walmart+ members, giving them the choice of in-car or streaming-only packages. Additionally, we debuted our first ever integrated billing with T-Mobile, expanding upon our existing six-month Sirius XM streaming offer and adding a Pandora premium four-month trial offer, making it even easier for trialers to transition into paying subscribers. These collaborations demonstrate our strategy of inviting people to experience Sirius XM in the way that suits them best. We are making significant progress in rolling out our 360L platform and expect to exit 2023 with nearly 40% of new car trials including 360L. Over the next few years, 360L will continue to expand across OEMs including on select Mercedes-Benz models as part of an agreement that will increase the installation of Sirius XM to make it a standard feature on all Mercedes-Benz models available in the United States. We will also begin to see 360L capable vehicles and our used car trial starts as well. We are very encouraged by the conversion lift we see in vehicles with 360L today. And we are just getting started. We see significant in-car conversion improvements when trialers engage with features that enable more control and discovery including our more targeted extra channels, Pandora artist stations and enhanced recommendations. While this is a great indicator of what’s to come, these features are currently only available in a limited number of 360L enabled vehicles, and awareness of these features is still low. We expect to see more rapid feature adoption tied to automakers incorporation of the Android Automotive operating system with our 360L platform beginning later this year. AAOS will roll out in small volumes initially, but should grow materially to become the dominant OEM operating system improving 360L adoption and feature parody along the way. Turning to our content, given the strong engagement we continue to see with our extra channels in and out of the car, in the first quarter, we expanded our focus here and launched several new hip-hop and R&B channels, we have seen the percentage of listeners consuming these genres more than double versus a year ago, driven by younger audiences who value the more controlled listening experience. Against the splintering of sports rights in the video space, we offer incredible value as the one stop audio home for all major sports and its powering record engagement of this content. We extended agreements with the NHL and NASCAR ensuring continued access for our subscribers for years to come. Sirius XM’s Super Bowl broadcast this year was the most listened to in our history and strong engagement continued during March Madness, particularly with NCAA Women’s Basketball. We increased the number of women’s games we deliver to our subscribers to almost 800 broadcasts doubling from the previous season. As we develop our new Sirius XM platform, we are rethinking how we surface and deliver talk content and see opportunities to better combine live shows with on-demand podcasts to serve the diverse preferences of listeners. With strong similarities between talk radio and podcasts, we can do more to seamlessly integrate them across our service and provide more control and discoverability for our subscribers. This past quarter, we combined Sirius XM’s podcast group and comedy and entertainment group into one unit. Our extensive portfolio includes chart-topping podcasts by Earwolf and Team Coco and exclusive channels featuring A-list talent like Andy Cohen Inks and Conan O’Brien. Our very distribution models, subscription and ad supported reach audiences wherever and however they want to listen and bring value to the Sirius XM subscription as exemplified by recent deals with Kevin Hart, Kelly Ripa and Tom Brady. Listeners can hear Kevin’s show Gold Minds on all major podcast platforms with extended episodes available early to subscribers on his Laugh Out Loud Radio channel only on Sirius XM. Kelly’s new hit, Let’s Talk Off Camera is first released widely as a podcast, but also airs on Radio Andy. And returning this fall, Let’s Go!, hosted by Tom Brady, Larry Fitzgerald and Jim Gray will be available first to our subscribers, then on demand exclusively in our app. All of this is a testament to our leading position in talk audio and we will continue to leverage our world class content to draw in new Sirius XM subscribers, while also giving ad supported listeners access to our high quality programming. Our advertising business operated under the unified SXM Media banner delivered solid first quarter results bolstered by growth in podcasts and programmatic sales. At the intersection of the two, our programmatic podcast sales doubled year-over-year, albeit, office small base and contributed to overall podcast ad revenue growth of 34%. And our ad technology business continues to be extremely profitable, growing about 20% year-over-year and partially offsetting broader headwinds during the first quarter. We help resolve pain points facing marketers by using greater automation and making buying more efficient. Alongside our ad tech success, this quarter, we renewed U.S. and international sales agreements with SoundCloud and our advertising relationship with the owned podcast network. We also launched fluency, a cultural practice helping brands connect with young diverse audiences in audio by providing insights to support campaigns and creative strategy. Our ad supported portfolio from Pandora to the Sirius XM podcast network, which also includes two of the largest Hispanic podcast networks with Pattaya and reVolver offers opportunities for advertisers to reach large and diverse audiences in audio. In short, I am pleased with our financial performance this quarter and I’m confident in our opportunity to expand our subscriber base as auto sales recover, and we launched the next generation Sirius XM experience later this year. This new experience will emphasize simplicity and elegance, provide more control and discoverability, and drive greater consistency between in-car and streaming experiences, better catering to our subscribers as they increasingly listen across devices. I will now turn the call over to Sean for some brief remarks, and then Tom will go through the financials in more detail.
Sean Sullivan: Thank you, Jennifer. And please let me add my welcome to Tom Berry, who may be new to this call, but is a veteran of Sirius XM and it’s finance organization since 2009. It has been a real pleasure to serve this company, its talented employees and our shareholders as CFO these past 2.5 years. In this past month, we have all worked together to ensure a smooth transition. I’m confident that Tom’s perspective, diligence, financial expertise, and history with Sirius XM will serve him well as he steps into the CFO role. Tom, take it away.
Tom Berry: Thank you, Sean, and thank you, Jennifer. Good morning, everyone. I’m truly excited about this opportunity and to join the conversation with investors and analysts and meet many of you in the coming weeks. I look forward to leveraging my experience of leading the Sirius XM controllers team to more broadly work with operations and the leadership team who shaped the company’s long-term direction. I think you’ll see continuity as I lead our talented finance team and continued our disciplined approach financial decision making. So with that, let’s jump right into it. As Jennifer noted, the first quarter played out as we expected, albeit with a bit stronger finish to our advertising revenue performance, and gradually improving trial starts. With these trends and more targeted cost control initiatives, we’re now able to increase our full year guidance for adjusted EBITDA from $2.7 billion to approximately $2.75 billion and our free cash flow expectations from $1.05 billion to approximately $1.1 billion. In this quarter, we recorded $2.14 billion of revenue, a modest 2% decline compared to the prior year period. The Sirius XM segment delivered $1.7 billion in revenue, which was down 2% principally due to lower OEM paid promotional trial revenue reflected in ARPU of $15.29 and decline subscriber revenue connected vehicle, partially offset by a weighted average subscriber base that was up 1% year-over-year. Self-pay net adds declined by 347,000 a quarter consistent with our expectations given lower fourth quarter vehicle and streaming trial starts combined with seasonally higher churn in the first quarter. We do expect to see future quarter-over-quarter progress in self-pay net adds, but we still anticipate being modestly negative for the full year in aggregate. Our total new and used car penetration rate was 80% and 55% respectively, and our enabled fleet stands at about 154 million vehicles. In the Pandora and Off-Platform segment, total revenue was $462 million, nearly flat with prior year. Advertising revenue was $334 million, decreased slightly by 1% in the first quarter. Although we continue to be cautious about the overall ad sales market, we still see tailwinds in podcasting. Pandora’s ad hours were 2.59 billion, declined just 4% year-over-year as hours per active users climbed 4.5% with 21 hours per month. Gross profit in the Sirius XM segment declined 5% to 1.02 billion, representing a margin of 61%, down slightly from 2022 due to higher royalties. The change in royalties was driven by the expiration of the discounted rates on pre-1972 music as of the end of 2022 and a CRB announced 9% CPI inflater on webcasting performance rights. And programming and content expenses climbed 6% due to increased licensing fee and production costs. Gross profit in the Pandora and Off-Platform segment was 111 million, down 19% in representing a margin of 24%. Here you’re seeing the normal effects of seasonally light ad revenue in the first quarter, combined with recent ad headwinds plus the CPI inflater to web streaming royalties. We expect this margin to trend favorably for the remainder of the year. At the corporate level, G&A was up 21% with the majority of the increase driven by litigation expenses and investment asset adjustments on our employee deferred comp plan. Sales and marketing expenses are lower by 17% as discussed, while engineering design and development expenses were up 15% on the back of new product investments. Putting all this together, adjusted EBITDA 625 million, was down 9% over the prior year. We are already beginning to see benefits from cost reductions implemented in Q1 across every element of our business. Seasonality in advertising revenue in these strategic cost saving measures should deliver ramping EBITDA in the second, third and fourth quarter. During the first quarter, we generated 144 million of free cash flow, down from 258 million in the prior year. This decline of 114 million is principally the result of increased satellite CapEx of 103 million as we invest in the construction at SXM-11 and SXM-12 and a one-time severance payment of approximately $15 million related to our cost optimization strategy. As we previously discussed, CapEx should increase by some 200 million for the full year 2023 as we ramp SXM-11 and SXM-12 on top of ongoing preparation for SXM-9 and SXM-10. This satellite CapEx spending will be in the $300 million range per year in 2023 and 2024 before declining to approximately 175 million in 2025, approximately 80 million 2026, and approximately 20 million 2027. While the exact timing of construction milestone payments can inevitably shift. This gives us a general idea of the trajectory and the scope of spending. The investments we are making now will support our remaining valuable low band customers for several years to come, but we’ll eventually provide new revenue opportunities. Following this build cycle, we do not anticipate any spending on satellites for many years. Because of this typical seasonality of our business in terms of receipts versus expenditures, combined with the timing of our capital expenditures, we expect to produce a meaningful portion of 2023’s free cash flow later in the year. Looking at the capital allocation for first quarter of 2023, we return to $160 million to the shareholders comprised of 94 million of dividends and 67 million of stock repurchases, as we reentered the market following our fourth quarter results. We ended the quarter with a leverage at 3.4 times, which is within our targeted range of low to mid threes. Moving forward, we value a strong balance sheet that provides us with flexibility to navigate a variety of future environments, and our goal, of course, is to continue a discipline and thoughtful approach to capital return. Despite market and business challenges, I’m proud of our good start to the year. Our team is working diligently to position us for success in the second half of 2023 and beyond. And I’m excited to see how this year shapes up. In closing, I would also like to thank Sean for making this transition as seamless as possible. With that, I’ll turn it over to the operator for Q&A.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from the line of James Ratcliffe with Evercore ISI. Please proceed with your questions.
James Ratcliffe: Hi, good morning. First of all, Sean, thanks very much. Pleasure working with you and good luck on the next gig, keep them in the fairway. And on that note, Tom if you could just give us an idea, your key priorities coming into the role, sort of what’s at the top of the bullet point list on the whiteboard in your office? And secondly, regarding the satellite radio side, GM has announced that they’re planning on dropping Apple CarPlay. What are you guys seeing among OEMs in terms of their positioning around third-party interfaces on the dash versus their own, and how does that affect the placement and role of the Sirius XM product? Thanks.
Tom Berry: Okay, James, I’ll go first. Good morning. Just to talk about my whiteboard, what we’re focused on or I’m focused on in the early days is a lot of what you’ll see in raising our guidance in some of the other areas is we’re investing a lot of time in our cost structure and ensuring that our spending and our cost optimization is headed the right direction with it in an effective manner. We’re investing in our future. We’re investing in the new platforms. We’re investing in satellites. So and obviously, we’ll continue to carry forward with our capital return plan to shareholders. But my overall view is to work on obviously optimizing the business, support the growth of the business and position us for the year ahead.
Jennifer Witz: Great. And James, to your second question, so we’ll see how this, how the OEMs navigate kind of the integration of CarPlay and Android Auto. I think, GM seems to be somewhat unique in that path. But we are well positioned to make sure that our incorporation sustains through whatever model the OEMs choose to pursue. And right now we’re certainly seeing significant take up in Android automotive operating system, the integrated software from Google. And we’re working closely with the OEMs and with Google as that rules out. The majority of OEMs have either announced or in process of moving toward that operating system. And I think we’re very well positioned to deliver our service through AOS [ph]. It allows us like many other services to update much more frequently our feature set. But we also have a unique setup because we will continue to maintain preferential treatment in terms of display. And whereas other services you need to sign up for a data plan, we cover the data costs ourselves. So, we believe no matter what path the OEM chooses will be really well positioned there.
James Ratcliffe: Thank you.
Operator: Our next question is coming from the line of Ben Swinburne with Morgan Stanley. Please proceed with your questions.
Ben Swinburne: Hey, good morning. Welcome Tom. Jennifer, could you talk a little bit about the subscriber outlook for the rest of the year in particular, what are the things that are going to allow for the streaming only subscriber losses to sort of moderate? Could you give us a little bit of color on sort of the puts and takes there? And how the new next generation Sirius XM experience will help improve that over the course of 2023? And then maybe the same question sort of on the in-car business. I think trial starts – are starting to improve, do you have, usually you guys have a pretty good line of sight on that. Just help us think about bridging the Q1 losses towards better numbers in the back half between those two subscriber bases, if you would?
Jennifer Witz: Sure. Thank you, Ben. So the number in Q1 was anticipated, right? We expected Q1 to be a low point in terms of net adds. And as Tom referenced earlier, we also expect each quarter going forward to be better to the prior quarter. And yes, the trends that we saw in Q1 in large part are reversing as we go through the year. So Q1 was impacted, as we said, by lower fourth quarter trials than third quarter. But Q1 trials have been stronger, were stronger than Q4. So that sets us up well for the in-car funnel. And we do expect auto sales to continue to grow. I just saw a stat the other day that we watch quite frequently about intent to buy and it’s at one of the highest levels we’ve seen over the last couple of years. So I think there is a case to be made for demand to start coming back, maybe some of the pent-up demand to be released and auto sales to slowly, but incrementally improve over the course of the year. And of course, that helps with the funnel there. On the churn side, in-car, Q1 is always seasonally soft for us, and we anticipate that to be true for this year as well. Well, we’re still very strongly positioned with churn at just over 1.6%. And CSAT is at an all time – our customer satisfaction is at an all-time high since 2009. And it’s driven a lot by the programming additions that we’ve made and the streaming access. And then on – to your question on streaming net adds, we did – to some extent, we’ve gone through this hurdle of the reduced marketing spend we had in the fourth quarter, and now we’re operating at a much more efficient level and the cost to acquire trials has gone down, some of that’s market conditions and some of that is more efficiently buying in specific channels. And we will continue to be active in generating trials. But we are actually holding back largely until the launch of the new platform, which is in the fourth quarter. So I wouldn’t expect to see major changes in our streaming net adds until after that. They will improve over the course of the year as will overall total net adds. But we’re still waiting to launch a lot of these underlying capabilities and functionality to be able to support the streaming business, not only for streaming-only subscribers, but also as it continues to support our in-car business through customers listening outside of the car and 360L in the car.
Ben Swinburne: That’s very helpful. Thank you. And Sean, best of luck in your new opportunity.
Sean Sullivan: Thanks, Ben.
Operator: Our next question comes from the line of Barton Crockett with Rosenblatt Securities. Please proceed with your question.
Barton Crockett: Thank you for taking the question. And I guess what I wanted to ask about is just a follow-up on the subscriber progression here. So I think you were saying on the last quarter call that, well, you weren’t formally guiding for a number for subs for this year. Generally, the expectation was modestly negative. Here you’ve come in and you’ve updated financial guidance. I was just wondering if you could give us an update on that subscriber kind of loose commentary. Is that still what you see? Or is there anything different that you can talk to at this point?
Jennifer Witz: Yes, Barton. We haven’t changed the guidance on subscribers, so still expecting modestly negative for the year. Clearly, with negative 347 this quarter, we are expecting, as we said, improvements quarter-over-quarter. I would expect the second half to be positive and that sort of nets us out to the modestly negative. And we’re really focused, again, heads down on investing in this new platform and making sure that that positions us for growth going forward. But we are continuing to see progress in advance of that on 360L. And I highlighted some of these metrics earlier, but we are seeing definitive increases in conversion rates for trialers, particularly younger trailers, who are using the features, but also just have 360L capable vehicles. And that is because we’re addressing these pain points. And I believe that is a very strong proof point for what we can continue to drive and see when we launch this new platform that is going to support 360L, but also drive cross listening in and out of the car and provide much more personalized listening experiences.
Barton Crockett: Okay. And to the point on 360L, can you give us a sense of right now how material 360L is for your subscriber acquisitions? I mean what portion are coming in on that platform? And how is that progressing over the course of this year in your view?
Jennifer Witz: Yes. So what’s key is the rollout, and this has been a long time coming, and the promise of 360L is now delivering. We’re in about – I think it’s about a third of our new car trial starts have 360L currently that will increase to about 40% by the end of the year. We’ll start seeing it actually come through used car trial starts as well as some of those early cars turn over. And then over time, in the years to come, it will get to 80% of our trial starts. So it’s rolling out. We announced this morning that Mercedes has a plan to rollout and we are very eager to see it continue to move through our OEM partners. And it’s key to not only lift in conversion, but also improved retention. And I think ultimately, ARPU as well because we can deliver even more content and features to our subscribers.
Barton Crockett: Okay, that’s great. Thank you.
Operator: Thank you. Our next question is from the line of Steven Cahall with Wells Fargo. Please proceed with your question.
Steven Cahall: Thank you. Jennifer, maybe just a follow-up on that line of discussion. I was wondering if you talk a little bit to conversion rates. So your commentary on the intent to buy and the improving funnel sounds constructive. I know pen rates are higher now. Competition is maybe a bit higher now. 360L mix is also sounds like tracking up nicely. So how do you think about conversion rates on new car trials today versus where you were historically, I think, in that sort of mid-30s range? And then relatedly, I was just wondering if you could speak to what’s going on in the used car market? Any commentary on how those are contributing to either the modest decline or the growing funnel and what we should expect for used car activity this year? Thank you.
Jennifer Witz: Sure. Thanks, Steven. On the used car market, just to start with that, the used car sales were actually pretty strong in the first couple months of the year. And in March, we started to see that tail off a little bit. As you know, it is a big part of our funnel but we have seen used car trial starts did increase in Q1 versus Q4, which sets us up well. The dynamics are tough in the market because many buyers as new car prices start to come down may migrate from used cars to new cars and inventories are still pretty tight on the used car side. But we’re not seeing any major changes in the market that I would highlight. On conversion rates, so I talked a bit about this on the last call, but just to add some more color conversion rates are continuing to trend in the low-30s and the – for new car in the low-20s for used. And is it really the downward pressure we’ve seen over the last few years had a lot to do with the dramatic increase we saw in pen rates over that time period. We were up about 9 points from 2019 to 2022. And we’ve settled in at this sort of range in the low-80s that I think is the optimal place for us going forward. So that pressure will abate to some extent. And then over the last few years, especially during COVID, there was a massive acceleration in the percentage of millennials buying cars. And while that growth will continue, it’s actually come down to more normalized level at this point and get the competitive challenges we have are easily solved with 360L and the new platform that we’re launching. And we are starting to see that already in some of our numbers. So younger generations in particular are looking for more opportunities to control the listening experience. They’re looking for more opportunities to more easily navigate the service. And 360L brings a lot of those features to life. And we are seeing even better conversion rates among younger trialers who have 360L relative to older generations, and particularly our core audiences who know our service and are used to navigating it.
Steven Cahall: Great. Thank you.
Operator: The next question is from the line of David Joyce with Seaport. Please proceed with your questions.
David Joyce: Thank you. First, Sean, good luck. You’ll be missed. I’m glad you extended your tenure in the media industry here and to Tom, congratulations. Look forward to working with you. Question on the new trends given the new Mercedes-Benz deal and some recent price increases, what are the impacts on ARPU in the near-term? Like how should we think about the cadence of ARPU from here this year? As well as what would the longer-term impacts be from any of the newer auto deals since we saw some of the promo numbers increase here. Thanks.
Jennifer Witz: Sure. Thanks, David. The OEM paid promotional revenue has been trending down over the last few years, and it’s really just one piece of the puzzle as we look at our economics with our OEM partners. So some OEMs will choose to pay for the trial and receive a higher subsidy. And obviously there’s the impact of revenue share as well, and we’re constantly navigating the interaction of those three economic levers with increasing penetration rates where it makes sense. So I think the impact of OEM prepaid revenue should slowdown in terms of how it’s flowing through ARPU over time. On the self-pay side, I would continue to expect improvements in year-over-year comps, as we roll out the rate increase, it’ll be less impactful than the last time we did the rate increase because we’ve focused primarily on full price plans. And that has a lot to do with maintaining our promotional plans and market are discounted plans to be able to better onboard and retain our subscriber base where it makes sense. But –positioning for the future, we have had a long history since we launched of annual average increases in ARPU of about 3%. That may be at the top end of the range, but I still think there’s opportunity. I just don’t want to focus on ARPU solely because I do think there’s demand at lower price points and we are looking at more flexible pricing structures that we will likely implement when we launch the new platform.
David Joyce: Okay. Great. Thank you.
Operator: Our next question is coming from the line of Stephen Laszczyk with Goldman Sachs. Please proceed with your questions.
Stephen Laszczyk: Hey, great. Good morning. Maybe for Jennifer on distribution, you called out the partnership with Walmart+ announcing the quarter. I was hoping you could maybe talk a little bit more about the third-party distribution strategy. How sizable of a trial acquisition funnel you think that could become over the next few years, and maybe how you see that fitting into the broader digital strategy later this year.
Jennifer Witz: Sure. So Stephen, the Walmart and T-Mobile have been great partners and I’m very pleased that we’ve been able to launch with them and test out different trial offers. And in particular with Walmart, we’re testing an offer that allows consumers to choose, do they want a satellite trial or an in-car trial or a streaming trial? And we’re just in the phase of really testing and learning on these rollouts and will be much better positioned when we build out some of the capabilities in the new platform in terms of easier sales flows, better onboarding, more personalized recommendations to take advantage of these partnerships going forward. The majority of our trial funnel as you would expect, is represented by the millions of trial starts that we do every year through our automotive partners. But the streaming trial funnel, our challenge has not been trial generation, and we’ve put very distinct guardrails in place and how we’re active in performance media in bringing trials into the funnel, partnerships is sort of an untapped opportunity. And I believe as we launch this platform, we will have more and more opportunities to better execute on that.
Stephen Laszczyk: Great. Thanks for that color. And then maybe just one for Tom, just since it’s your first call as CFO, follow-up to James’ question. It’d be great to maybe hear how you’re thinking more broadly about leveraging capital allocation. What do you see as the right leverage profile, the right mix of capital returns, anything different here going forward that we should be mindful of relative that we thought about it in the past?
Tom Berry: Great. Thanks, Stephen. So we look at this probably more often than not, but we spend a lot of time looking at this. We’ll continue our current process of being cautious and disciplined. Obviously, as we said to you at the year-end call that all of – a lot of our free cash flow and a lot of our numbers will be coming in the second half of the year. But we’re going to continue with our disciplined approach as we’ve used over the last couple years. We’ll target leverage in the low to mid-3s in light of the macroeconomic factors. And as we noted, our Q1 was at 3.4 times and we returned $161 million to shareholders in the first quarter and will continue to be opportunistic for the remainder of the year.
Stephen Laszczyk: Great. Thank you.
Tom Berry: Thank you.
Operator: Thank you. Our final question is from the line of Matthew Harrigan with Benchmark Company. Please proceed with your question.
Matthew Harrigan: Thank you. Firstly, could you talk a little bit more about – was maybe a little bit better than expected audio number? I mean, the economy, we just had a soft GDP number a couple minutes ago. Are you seeing any flux in terms of the categories that are participating or just kind of tailwinds for audio advertising even irrespective of the economy? And then secondly, it’s a bit of a more of a press question than an analyst question, it’s probably definitely falls into the diverse preferences of listeners buckets. But you just have two rather polarizing TV news personalities becoming available, albeit, some bad actor issues at Tucker Carlson, Don Lemon. You’ve certainly been very tolerant of views on all sides of the spectrum. But are there any circumstances where – if I was Tucker or Don Lemon, I’d certainly want to be with you on the linear and podcasting side rather than Newsmax or OAN. But is that just too fringe for you? And again, I kind of apologize for the question, but I’d love – I can’t resist. Thanks.
Jennifer Witz: Thanks, Matt. I will start on advertising and hand it over to Scott on your second question. Our Q1 results were better than we expected certainly based on where trends were heading in December or January. We had a really solid quarter with ad revenue down just 2%. And I believe that because we were really well positioned to capture late in quarter demand that came in as advertisers started to open up their budgets, because we have these programmatic solutions across music streaming and podcasting. And podcasting continues to be a bright spot. Podcasting ad revenue was up 34% year-over-year in the quarter. And that’s due to the great content relationships we have on the representation side. Our ability to bring brands into podcasting, it’s traditionally been much more D2C and D2C has been soft in the first quarter. And then we just have these solutions in market for advertisers to come in and either buy across our network on an audience basis or buy show level and even custom integrations. And so we’re really well positioned on the podcasting side. Certainly, there’s still uncertainty in the second half I think, but we are hopeful that the market will continue to recover. And the great thing about our guidance is that if in the cost reductions we’ve put in place, we’re really well positioned, even if the market trends a little softer going forward. And just on the categories, it’s been continued improvement in travel, restaurants, casino, even automotive is coming back more, which makes sense and then softness in telecom and some financial services. Scott, you want to?
Scott Greenstein: Great. Thanks Matt. So one of the things we’re most proud of is what you alluded to the true diversity of voices we have on the platform and basically letting our subscribers and listeners and trialers decide what they want to listen to at any given moment. And while we may in fact be a potential or logical home for anybody that fits into those voices. One, we don’t comment on anything we’re looking at directly. And secondly, we look at the totality of the package between the talent, the issues that allow them to be freed to negotiate and other things. So it’s like anything else. People find our way to our door and we consider a lot of factors before we make any decisions.
Matthew Harrigan: Thanks for your answers.
Hooper Stevens: Thanks Matt. Thanks everybody for participating today. Thanks, operator, Rob. Talk to you later. Bye-Bye.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.